Operator: Good morning and welcome to the GeoPark Limited Conference Call following the results announcement of the Third Quarter Ended September 30, 2015. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. If you do not have a copy of the press release, please call Grayling in New York at +1 646-284-9400 and we will have one sent to you. Alternatively, you may obtain a copy of the release at the Investor Support section on the company's corporate website at www.geo-park.com. A replay of today's call maybe accessed by dialing in on the numbers provided in the press release or by accessing the webcast in the Investor Support section of the GeoPark corporate website. Before we continue, please note that certain statements contained in the results release and on this conference call are forward-looking statements rather than historical facts and are subject to risks and uncertainties that could cause actual results to differ materially from those described. With respect to such forward-looking statements the company seeks protection afforded by the Private Securities Litigation Reform Act of 1995. These risks include a variety of factors, including competitive developments and risk factors listed from time-to-time in the company's SEC reports and public releases. Those lists are intended to identify certain principle factors that could cause actual results to differ materially from those described in the forward-looking statements, but are not intended to represent a complete risk of the company’s business. All financial figures included herein were prepared in accordance to IFRS and are stated in U.S. dollars unless otherwise noted. Reserves figures correspond to PRMS standards. On the call today from GeoPark is James F. Park, Chief Executive Officer; Augusto Zubillaga, Chief Operating Officer; Guillermo Portnoi, Finance Director; Pablo Ducci, Capital Markets Director; and Dolores Santamarina, Investor Manager And now, I’ll turn the call over to Mr. James Park. Mr. Park you may begin.
James Park: Thank you, and good morning. GeoPark moved decisively at the end of 2014 to adjust to a sustained period of lower oil prices which enabled us to adapt quickly to the new industry environment, find ways to continue achieving both organic and inorganic growth, and keep pushing forward with our long-term business plan. GeoPark has a unique five country self-funding an asset-rich platform in Latin America. Our region with big hydrocarbon opportunity and attractive business environment and very little competition. Our long-term objective is to build the leading independent in the region and both our team and business model have been proven by our consistent track record of growing production reserves and cash flow every year for the last nine years. To capture the full value chain of our business, Geopark has developed distinct capabilities as an explorer and operator and a consolidator, which can be seen in our results during this third quarter. As explorers, we were back to finding oil with the drill bit with the discovery of two new oil fields Jacana and Chachalaca, both in our operated Llanos 34 block in Colombia. Jacana is the third full discovery along the prolific 15 kilometer long Tigana, Tilo fault trend, a successful appraisal well Jacana 2 is already been drilled and put on stream, as well as a new successful appraisal well on the Tilo field. This three full productive trend is already producing over 18,000 barrels per day gross from 13 wells, with a significant development opportunity to drill many new low risks, low costs and high economic return wells. Chachalaca is a new discovery in the Northwestern part of the block which will add production and further extend and secure our exploitation acreage. Throughout the turbulence of 2015, GeoPark has been able to demonstrate continuous productions and reserve growth in Colombia, with operated production grown by over 50% since January 1, and considering all GeoPark country business units, we are today at a record production level of over 23,000 barrels per day. As operators, our team restructured our operations to delivering important cost savings in both reduced and refocused our capital investments. OpEx is down 56%, CapEx has been reduced by 75% and drilling cost reduced by over 25%. These actions matched with the quality and diversity of our asset base, mean 85% of our production is profitable at $25 to $30 oil prices, and with more improvements coming. Consequently our balance sheet has been kept strong and our cash, say with over $90 million in the bank. While still investing in projects that will ensure our long-term growth, these investments have included new drilling in Colombia, the new compression plant in Brazil to ensure full development of Manati gas field and the new Ache gas field development and treatment plant, representing a new oil field technology introduced in Chile. As consolidators, we’ve also been able to continue adding to our large portfolio of assets in low risk proven hydrocarbon basins across Latin America. We continue to identify new opportunity, and in the latest bid round in Brazil, we acquired four new attractive blocks at good terms in the Potiguar and Reconcavo basins complementary to other GeoPark assets. Regarding 2016, we are currently carrying out our capital allocation exercise to build our 2016 work program and budget. We believe this is one of GeoPark’s differentiating strength whereby we have the opportunity to review and select from a wide range of projects regenerated by each business unit team with different returns, risks, sizes and timelines and geographies. This ensures that our capital always can be directed through our top shareholder value adding project after ranking them on economic, technical and strategic criteria. It also makes us comfortable and volatile environment by being able to easily add or subtract projects depending on oil prices and project performance. In our preliminary conservative 2016 scenario where we use a $40 base oil price and $50 million to $60 million in capital expenditures, we are targeting production growth of at least 10% to 15%. We will advise our complete 2016 program next month. During this capital allocation exercise we also get to live and share, and the culture, creativity and drive of the GeoPark team in each independent business units, and which again and again as proven to be our most resilient and important assets. Our executive team is here with me today, Zubi, Pablo, Guillermo and Dolores. So let’s please open up now for any questions you may have. Thank you.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Our first question is coming from Diego Mendes of Itau. Please proceed with your questions.
Diego Mendes: Hi, good morning all. So Jim, you mentioned in your last statement, the CapEx that you intend to invest in the next year. Could you just repeat to us what is the numbers and also from where do you believe that 10% to 15% yearly growth will come from? The second question is related to the possible investments in Mexico with regardless to looking to participate in the round 1.3 or 1.5. And the third – and the last question is regarding costs, if you believe there is much more room to look at cost from where you are to date? Thank you.
Pablo Ducci: Hi, Diego. This is Pablo and thanks for your question. I’m going to start by giving some guidance on the work programs for 2016. Our idea is to working at three price scenarios comprises of $40, $50, $65 per barrel throughout 2016. Our base case is under 1 percentage by Jim in his words is $140 that consider our production growth of around 10% to 50% coming from Colombia and Chile, development wells in both office that we have there. And with our investments that is going to be in the same level, the one that we have this year in 2015, so between $60 million or less than that. Then I’m going to take the last part of your question regarding costs. We are constantly working and improve our cost. We have been able to success quarter-over-quarter on that. Our teams in each business units have focused throughout the 2015 and throughout the different quarters. So we expect to be able to still have a strong improvement in our corporate structures for the following structures.
James Park: With respect to Mexico, yes, we’re working in Mexico. We’ve approached that in three different – we have three different directions. One is directly to work with PEMEX on some of their properties that they own and direct joint ventures. Two on some of the contract migrations, the existing service contracts that are being migrated over and three are in the bid rounds. And so, there is a bid round upcoming in December of this year and we expect to be making a bid in that round.
Diego Mendes: Okay. Thank you very much.
Operator: Thank you. Our next question is coming from Gavin Wylie of Scotiabank. Please proceed with your question.
Gavin Wylie: Yes, thanks guys, just few quick questions. The first one is, after the Tilo 2 and the Jacana 2 well results, how are you looking at those structures as it relates to potential combined trap against Tigana? Or are you starting to view those as separate structures and if so separate, could you give us a sense of maybe what the areal extent would be and how that would compare to some of the other discoveries you had on the block i.e., two or something of that nature? And then the second question is just as it relates to your base program for 2016, when do you return – when do you return back to Block 34 and begin additional appraisal and/or exploration drilling. And how many wells do you foresee in 2016 on Block 34?
Augusto Zubillaga: Okay, Gavin. Good morning. I’m Zubi. How are you? So as you mentioned, we have drilled the second well in Jacana 2 and we’re producing right now 4,000 barrel of oil per day. So going to your question, we don’t know yet is they are connected with Jacana or not. The same thing has happened Tilo. So we are restarting, reassessing our seismic. So until now, we don’t know is stay connected or not. Anyway we can estimate that reserve site in the Jacana could be the average of Llanos 34 Block. So we are really happy and excited of the Jacana...
Pablo Ducci: Regarding – this is Pablo. Regarding the program in 2016, our idea is to develop and have some more exploration on that Block. In the base case work program, preliminarily we are estimating three to four new wells on that block at prices of $40 and considering one out of those four wells, an exploration well. So there is going to be three developmental wells and one exploration in the Llanos 34 and the idea is to start drilling again in the first quarter of next year.
Gavin Wylie: Okay, that’s great. And to go back to the Jacana comment that you made, so as an independent structure, Jacana do you think would be somewhere in that 10 million to may be 12 million barrel a day range given that that’s kind of in the range for the 34 Block. Is that kind of a fair characterization?
Pablo Ducci: Yes, may be more. You know we [indiscernible] December, so we have final 35 reserves in March. So we may expect more than 15 million barrels– between 15 million to 20 million barrels in Jacana structure…
Gavin Wylie: Perfect. Perfect. Nice work. Thank you.
Operator: [Operator Instructions] Our next question is coming from Felipe Santos of JP Morgan. Please proceed with your question.
Felipe Santos: Hi, Jimmie just a follow-up. How are you? Just some more questions as a follow-up of my question before. In case of entering into next call and beating there, how do you think, how do you plan to finance the acquisition funds the exploration program there? And second question is could you detail a bit more on the strategy going forward for selling the output of the company at the wellhead. Thank you.
Pablo Ducci: Hi, Felipe thank you, this is Pablo. Taking your questions first, question Mexico and in every acquisition and organic growth that we have been developing throughout the Geopark story, we have been able to find different ways to fund that inorganic growth, not only with our own resources, but also with strategic partnerships that we have been able to develop. Currently Mexico, we have already some partnerships with one of our shareholders, the IFC, from the World Bank and also with – do you see opportunities in these three possibilities that Jim explained before. Besides that we are also in conversations with local partners to be able to have the flavor and more color on what’s happened there and our local partner. Those conversations have been developed throughout the year and we expect to in case we do an offer for an area to do that in that way with a strong group of pioneer being one of those partners. Regarding the strategy on sitting under worse case, there has been an agenda you might have been seeing throughout the quarter in which, we got to be moving from selling probably 50% at the wellhead to 98% through the wellhead the last quarter for different reasons. Mainly the evaluation on the current in Colombia is helping out to make every sign more attractive, the economics of selling at the wellhead, that means that we are increasing our margins, using future strategy. And I’m getting better EBITDA if you see that [indiscernible] commercialization we are getting a lower registration price but also zero transportation cost in our expansions. So in our margins we do see some increase due to the strategy. What you can expect for the incoming quarter is to pursue this strategy to go through the wellhead. I believe the last quarter of 2016 and then to get some improvement in some commercial discussion that we’re pursing there. The only advantage of this meteorology is that spending on the wellhead SG&A an advantage in our working capital when you track or transfer through pipeline to [indiscernible], you have 15 days of inventory that you have to take care. In this case you gain those 15 days because you receive the payment when you start to work it.
Felipe Santos: Thanks so much.
Operator: [Operator Instructions] Our next question is coming from Chris Dechiario of Marathon Asset Management. Please proceed with your questions.
Chris Dechiario: Yes hi good morning. So I think you just answered one of my questions which was, sort of what were the major factors driving the positive cash from working capital in the quarter and is that because of the increasing percentage of sales at the wellhead or were there other factors?
James Park: Mainly do that, yes.
Chris Dechiario: Mainly that okay. For the coming quarter in the next year what are you expecting in terms of cash use or from working capital.
Pablo Ducci: Well, the idea of our acquisition as we managed around beginning of the year is to end with, to protect our cost, we expect to end the year with level a little bit lower that the one that we reported during this quarter, mainly for the opportunities that we pursue during the fourth quarter. And by doing that through the long-term, so we’re in – all the focus on our whole program is on cash preservation mode that we want to mind that on the company.
Chris Dechiario: Okay. And what is the current daily production rate? Now that you’ve done all this drilling, so where are you today in terms of daily production?
Pablo Ducci: A few slowly right on our release, currently, we are over 23,000 barrels which is mainly due to the fully production of the well – of the new fields that we covered, that we mentioned Jacana and Chachalaca, but also the appraisal wells that we drilled in Columbia – in the case of Columbia. Also in the case of Chile, we put in production on our gas field at Chile with a new gas field and plant that we put in there and also increased the level of production in Chile over 1,000 barrels of oil equivalent and is going to a favorable for the next couple of quarters. So we’re going to have a production over the quarter and it’s going to be over the 23,000 barrels.
Chris Dechiario: Great, thank you.
Operator: Thank you. We’re showing no additional questions at this time. This does conclude today’s teleconference. You may disconnect your lines at this time and have a wonderful day.